Operator: Greetings. Welcome to SiteOne Landscape Supply, Inc. first quarter 2021 earnings call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions]. Please note, this conference is being recorded. I will now turn the conference over to your host, John Guthrie. John, you may begin.
John Guthrie: Thank you and good morning everyone. We issued our first quarter 2021 earnings press release this morning and posted a slide presentation to the Investor Relations portion of our website at investors.siteone.com. I am joined today by Doug Black, our Chairman and Chief Executive Officer and Scott Salmon, Executive Vice President, Strategy and Development. Before we begin, I would like to remind everyone that today's press release, slide presentation and the statements made during the call include forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These statements are subject to risks and uncertainties that could cause actual results to differ materially from our expectations and projections. Such risks and uncertainties include the factors set forth in the earnings release and in our filings with the Securities and Exchange Commission. Additionally, during today's call, we will discuss non-GAAP measures, which we believe can be useful in evaluating our performance. A reconciliation of these measures can be found in our earnings release and in the slide presentation. I would now like to turn the call over to Doug Black.
Doug Black: Thanks John. Good morning and thank you for joining us today. Following a very strong fourth quarter and an excellent year in 2020, we are very pleased to report even stronger results in the first quarter of 2021 getting us off to a tremendous start for the year. We have seen the stay at home and outdoor living trends continue to benefit landscaping repair and upgrade, coupled with a strong housing market and steady commercial activity, all supporting robust demand for professional landscaping services. At the same time, our exceptional teams continued to overcome the labor and product supply challenges associated with a very strong market, delivering better value to our customers and suppliers than ever before. We believe this has allowed us to gain market share on top of the overall market growth. Further we continue to add terrific companies to SiteOne, all local market leaders with the best teams in the industry. As a result, we are delivering outstanding value to all our stakeholders and gaining strength at the same time. Stronger together works. And I could not be prouder of our team or more confident about our future. I will start today's call with a brief review of our unique market position and our strategy for long term performance and growth, followed by some highlights from the quarter. John Guthrie will then walk you through our first quarter financial results in more detail and provide an update on our balance sheet and liquidity position. Scott Salmon will discuss our acquisition strategy and then I will come back and review some of the trends that we are seeing in our end markets and address our outlook for the remainder of the year before taking your questions. As shown on slide four of the earnings presentation, we have grown our footprint to more than 580 branches and three major distribution centers across 45 U. S. states and six Canadian provinces. We are the clear industry leader yet we estimate that we only have about 13% share of the very fragmented $20 billion wholesale landscaping products distribution market. Accordingly, our remaining growth opportunity is significant. We have a balanced mix of business with 59% focused on maintenance, repair and upgrade, 27% focused on new residential construction and 14% on new commercial construction. We are also the only national full product line wholesale distributor in the market. Our balanced end market mix, broad product portfolio and geographic spread give us multiple avenues to grow and more ways to add value for our customers and suppliers while providing important resiliency in softer market. Turning to slide five. Our large and local strategy combines the scale, resources and capabilities of a large world-class company with the passion, deep knowledge and entrepreneurialism of our local team in order to deliver superior value and differentiate us from the competition. While we have come a long way in building SiteOne, we are still in the early to middle innings of developing our full capabilities across all our product lines and so we remain highly focused on our commercial and operational initiatives to build our capabilities and improve the value that we deliver to customers and suppliers. These initiatives are complemented by our acquisition strategy which builds on our product portfolio, moves us into new geographic markets and adds terrific new talent to SiteOne. Taken altogether, our strategy creates superior value for our shareholders through organic growth, EBITDA margin expansion and acquisition growth. If you turn to slide six, you will see that our strategy is working. Over the last five years, we have been able to deliver consistent organic growth, strong acquisition growth and solid EBITDA margin expansion while investing heavily in SG&A to build our IT, category management, supply chain, finance, marketing, operational excellence and acquisition team as well our underlying systems infrastructure including our digital capabilities. While work remains to be done on building our systems infrastructure, our field support teams are largely in place and each year our teamwork and synergies across SiteOne improves along with our ability to leverage our infrastructure investment. We can see this in our increased market share gains and organic growth and in our improved operating leverage. Going forward, we will continue to build and leverage our capabilities to accelerate performance for all stakeholders. You will also note that we have now completed 60 acquisitions across the irrigation, agronomics, nursery and hardscapes product line during the last seven years with four so far in 2021. We only acquire a well-run company and so all of these acquisitions are already high performing companies before joining SiteOne. With them, we added significant capability and tremendous talent and we have learned many lessons that can be applied to future acquisitions. Our acquisition pipeline remains very robust and we have significant potential to continue growing through acquisition for many years to come. In summary, our strategy is working. We are still early in our execution. And you will see us get stronger every year as our key initiatives gain more traction. Slide seven shows the long runway that we have ahead in filling in on our product portfolio which we aim to do primarily through acquisitions, especially in the nursery and hardscapes categories. Nursery and hardscapes operations require larger sites and significant local expertise. And so these product lines cannot just be added to most of our existing branch locations. We are well networked with the best companies in our industry and expect to continue filling in these markets systematically over the next decade. I will now discuss some of the first quarter performance highlights as shown on slide eight. We delivered a record 41% net sales growth in the first quarter with 32% organic daily sales growth and 7% net sales growth added through acquisitions. We are seeing very robust demand so far in 2021 across all our product lines, customer segments and geographies, supported by very strong residential repair and remodeling activity and a strong new residential construction market. Interestingly, commercial activity has been solid so far this year and seems to have stabilized. On top of the market growth, we believe we are gaining share in all product categories as our category management, operational excellence, sales force performance, marketing and digital initiatives gains strength. Through these initiatives, we are improving our product portfolio, customer service, partnership capabilities and our customers' awareness of our capabilities. As a result, we are attracting new customers and gaining wallet share with existing customers. As I have mentioned, we have seen the strong sale continue so far in the second quarter, though we expect the rate of growth to moderate during the remainder of the year. As you can imagine, with this kind of growth, our suppliers are struggling to keep up with demand and product supply is very tight across most product categories. Additionally, there is an acute shortage of trucking capacity to bring product to market. All these factors have put a lot of stress on the industry's supply chain. Fortunately, this is an area where we have built significant strength and I am very proud of the SiteOne supply chain and transportation teams for overcoming these challenges and keeping our branches well supplied so far to support our growth and enable us to gain market share. Our gross margin was down 10 basis points during the quarter as we built up inventory for the year, worked through the supply chain and transportation constraints and managed costs inflation and pricing. We saw particularly high inflation in freight and in a few product lines like PVC pipe and copper wire during the quarter. That said, our teams did a great job managing product costs relative to the market and we saw minimal negative impact on our gross margins. We remain confident in our ability to improve gross margin for the full year with private label growth, growth with small to mid sized customers and the continued execution of our supply chain and category management initiatives. On the SG&A side, we achieved fantastic leverage as our teams worked hard to service the strong demand while also managing costs exceptionally well. Like most companies in our industry, we are challenged in ramping up our field teams this year and so our associates have had to be very productive and creative in serving our customers. In this environment, our recent investments in MobilePro, our transportation management system or TMS and in siteone.com are paying off. We remain focused through our operational excellence initiatives on our associates to be more productive through better systems and technology so that they have more time to do what they do best, help our customers to win. I would also comment that our field support associates who are working from home have been tremendous. And we have learned a lot about how to help them be more productive while also supporting their work life balance. As we return to the office environment in the coming months, we believe that we can develop a hybrid work structure there will be a win-win-win for our associates, our customers and for SiteOne. In this way, ironically, the COVID experience has made us a stronger company. Overall, we will continue to invest in our systems and processes to create a better place to work for our associates, build competitive advantage with our customers and suppliers and increase our SG&A leverage in the coming years. The combination of strong organic sales, excellent SG&A leverage and good contribution from acquisitions allowed us to deliver record adjusted EBITDA growth for the first quarter and improve our adjusted EBITDA margin by 610 basis points. We are excited that we now expect to achieve our 10% adjusted EBITA margin milestone for the full year in 2021. On the acquisition front, we were off to a great start with two deals in the first quarter and two deals completed so far in the second quarter. These companies are high performers and gave us excellent talent and capability for growth in their respective markets while adding approximately $80 million or about 3% to your annual sales. With an experienced team, broad and deep relationships with the best companies in the industry, a very strong balance sheet and an exceptional reputation for being a good home for local companies, we remain well positioned to grow through acquisition for many years to come. Overall, I am very proud of how our team has performed in this extraordinary environment to keep everyone safe, serve and support our customers, deliver outstanding financial results and create tremendous value for all our stakeholders. We remain excited about both the short and long term opportunities to drive excellent performance and growth with our strong team and winning strategy. Now John will walk you through the quarter in more detail. John?
John Guthrie: Thanks Doug. I will begin on slide nine with some of the highlights from our first quarter results. We reported a net sales increase of 41% to $650 million in the quarter. There were 65 selling days this quarter compared to 64 in the prior year period. Organic daily sales increased by a record 32% for the quarter due to strong demand as consumers are spending more time at home and investing in their outdoor living spaces. Organic daily sales for landscaping products which include irrigation, nursery, hardscapes, outdoor lighting and landscape accessories were strong again this quarter increasing 29% compared to the prior year. Landscaping products are the products most closely tied to the repair and remodel end markets which is benefiting from homeowners upgrading their backyards and patios. Organic daily sales for agronomic products which include fertilizer, control products, ice melt and equipment grew 39% this quarter. Agronomic products benefited from increased demand in residential maintenance, an early start to the spring selling season, strong sales of ice melt in response to more winter storms and increased sales of LESCO products through the retail home center channel. Geographically, all regions achieved double digit organic daily sales growth. As Doug mentioned, we continue to see strong sales growth in the second quarter as our customers remain very busy. As a reminder, last year due to the impact of COVID-19 related restrictions, we saw a negative organic daily sales growth in April and only 3% organic daily sales growth in the second quarter but then sales recovered and we achieved double digit organic daily sales growth in the second half of last year. So we have a less challenging sale comp for the second quarter and tougher sales comps in the third and especially fourth quarter. Prices increased 3% for the first quarter which was at the high end of our previously expected range of 2% to 3%. We saw cost increases from our suppliers throughout the quarter with products like PVC pipe, copper wire and fertilizer, all reaching multiyear highs. We are managing through the cost volatility and have adjusted our pricing accordingly. For the full year, we are increasing our expectation for price inflation to 3% to 5%, as we are getting indications that some suppliers may push through additional price increases. Acquisition sales, which reflect the sales attributable to acquisitions completed in both 2020 and 2021, contributed approximately $33 million or 7% to the overall first quarter growth rate. We are pleased with the performance of our acquisitions in our overall deal pipeline. Scott will provide more details regarding our acquisition strategy later in the call. Gross profit increased 41% to $202 million for the first quarter while gross margin decreased 10 basis points to 31%. We were pleased with how we maintained gross margin throughout the quarter despite product cost inflation and greater material handling expense including almost $1 million of nursery losses resulting from the Texas winter storm which represents approximately 15 basis points of negative impact on our gross margin this quarter. Selling, general and administrative expense or SG&A increased 15% to $192 million for the first quarter. SG&A as a percentage of net sales decreased 670 basis points to 29.6%. The reduction in SG&A as a percentage of net sales reflects our excellent organic sales growth combined with solid cost management. We expect the amount of SG&A leverage to moderate somewhat as we move into the primary selling season. For the first quarter, we reported an income tax benefit of $2.5 million compared to an income tax benefit a $13.5 million in the prior year period. The decrease in the income tax benefit is attributable to the increase in net income before taxes and a decrease in the amount of excess tax benefits from stock based compensation. For 2021, we expect our effective tax rate will be between 25.5% and 26.5%, excluding discrete items such as excess tax benefits. We record net income for the first quarter of $7.4 million compared to a net loss of $17.5 million for the prior year period. The improvement was primarily driven by our strong sales growth and SG&A leverage. Our weighted average diluted share count was 45.7 million compared to 41.8 million in the prior year period. This increase was primarily attributable to our August 6, 2020 equity offering and the impact reporting net income for the first quarter this year and a net loss for the first quarter last year. Adjusted EBITDA for the first quarter was $34.5 million compared to a loss of $3.6 million for the same period in the prior year. Adjusted EBITDA margin reflecting our SG&A leverage increased 610 basis points to 5.3%. Now I would like to provide a brief update on our balance sheet and cash flow statement as shown on slide 10. Net working capital at the end of the first quarter was $539 million compared to $521 million for the prior year period. The increase in net working capital is attributable o additions from new acquisitions and higher receivable resulting from our strong sales growth. Cash used in operations decreased to $46 million for the quarter compared to cash used in operations of $66 million for the prior year period. The improvement was primarily driven by our increased profitability. We made cash investment of $46 million for the quarter compared to $51 million for the same quarter last year. The decrease in cash investment reflects slightly lower spend on acquisitions this quarter compared to the prior year period. Net debt at the end of the quarter was approximately $355 million compared to $650 million at the end of the prior year period. The reduction in net debt reflects proceeds from our August 2020 equity offering and our strong operating cash flow. Leverage at the end of the quarter decreased to 1.2 times our trailing 12-month adjusted EBITDA compared to 3.2 times at the end of the first quarter of 2020. The lower leverage reflects our reduction in net debt as well as our improved profitability. Our target net debt to adjusted EBITDA leverage range at year-end is one to two times. As a reminder, we lowered our target leverage range from two to three times to one to two times to increase our financial flexibility and allow us to execute our acquisition strategy in all market environments. During the quarter, we took advantage of our strong financial position, lower leverage and favorable market conditions to refinance our term loan. In the refinancing, we extended the maturity of the term loan to 2028 and reduced interest rate by 75 basis points to LIBOR+200 basis points. At the end of the quarter, we have liquidity of approximately $377 million which consisted of approximately $33 million cash on hand and approximately $344 million in available capacity under our ABL facility. In summary, our priority from a biology perspective is to maximize our financial strength and flexibility without sacrificing long term growth or market opportunity. I will now turn the call over to Scott for an update on our acquisition strategy.
Scott Salmon: Thanks John. As shown on slide 11, we acquired two companies in the first quarter and two more companies since the quarter finished with combined trailing 12-month net sales of approximately $80 million. Since 2014, we have acquired 60 companies with over $1.1 billion in trailing 12-month net sales. Turning to slides 12 through 15, you will find information on our most recent acquisitions. On February 17, we acquired Lucky Landscape Supply, a wholesale distributor of nursery products to landscape contractors serving the Greater Houston market from a single location. This is our fourth nursery branch in Houston and expands our full line capabilities in this important market. On April 1, we acquired Arizona Stone and Solstice, establishing a leading hardscapes platform with nine locations across the rapidly growing Arizona and Nevada market. This complements our existing lines of business and doubles our footprint in Arizona. On April 30, we acquired Timberwall Landscape & Masonry Products, expanding our leading hardscapes position in the Greater Minneapolis market established in Q4 of 2020 when we acquired Hedberg Supply. Also on April 30, we acquired Melrose Irrigation Supply, extending our leading irrigation presence in Florida by adding six locations across South Florida. Melrose brings a great team and excellent new locations to serve the growing Florida market. Summarizing on slide 16. Our acquisition strategy continues to create significant value for SiteOne and our pipeline is strong and expanding across all geographies and lines of business. We are excited to be partnering with the highest performing companies in the industry and bringing outstanding new talents to SiteOne. Our field and functional support leaders along with our strategy and development team continue to build strong personal relationships every day with the many entrepreneurs who we hope to bring into our family when the timing is right for them. The decision to sell a family business, they only happen once in a lifetime and we are truly honored and humbled each and every time an owner chooses to join our family. I want to thank all the highly successful entrepreneurs who have joined SiteOne as well as the entire SiteOne team. Their passionate commitment to making SiteOne a great company continues to be the key ingredient which allows to successfully add terrific new companies and associates and provide tremendous value to our customers, suppliers and communitiers. I will now turn the call back to Doug.
Doug Black: Thanks Scott. I will wrap up on slide 17. As mentioned, we have seen very strong demand trends continue in April across all product lines, customer segments and geographies. Given our customers' current backlog of work and the underlying positive developments that we see in the economy and in residential construction, we expect favorable demand trends to continue through the remainder of the year. As a reminder, last year we had negative growth in April which was heavily impacted by COVID-19 restrictions. As the restrictions were removed, we saw some recovery in May and then very strong double digit growth in June through December. As such, we expect our current growth to begin to moderate in May and then settle into a much lower growth rate in June through the end of 2021. We do however expect the growth to be positive in the second half supported by higher inflation and solid demand. In terms of end markets, we would expect maintenance which comprises 41% of our business to be steady during the remainder of the year with low to mid single digit growth. We have terrific capability and great momentum in maintenance with our market leading LESCO brand. And so we are confident in our ability to perform in a steady market. Residential new construction and major repair and upgrades which comprised 27% and 18% of our business respectively are expected to remain very strong. While growth will certainly moderate against higher comparable sales, our customers have deep backlog in residential and do not plan to slow down. These markets will be constrained by labor, weather and possible supply shortages. Lastly, the commercial market which represents 14% of our business has remained surprisingly solid this year so far. And the weakness that we anticipated earlier in the year has not developed. Our project services group is bidding on more jobs than they did at this time last year and our customers' backlogs are solid, both supporting growth in the second half. Accordingly, we believe that we will see a stronger commercial market than we had originally forecast for the second half of the year. Taken altogether, we expect to achieve low double digit organic daily sales growth for the full year 2021, which would be a record level of growth for SiteOne. Additionally, we will continue to execute our commercial and operational initiatives which we believe will yield good gross margin improvement and SG&A leverage leading to solid adjusted EBITDA growth and margin expansion. We are excited in that we now expect to achieve our 10% milestone for adjusted EBITA margin in 2021. In terms of acquisitions, as Scott mentioned, we currently have a very strong pipeline of high quality companies and look forward to adding more of these to the SiteOne family over the remainder of the year. Our acquisitions are performing very well and we continue to improve our ability to integrate them into our company, improve our customer value and create synergies together. Accordingly, we expect acquisitions to contribute strongly to our performance and growth in 2021 and the years ahead. Taken altogether, we are raising in our fiscal 2021 adjusted EBITDA guidance to be in the range of $300 million to $320 million which represents year-over-year growth of 15% to 23%. This range does not factor any contributions from unannounced acquisitions. This compares to our prior estimate of $275 million to $299 million. In closing, I would like to sincerely thank all our SiteOne associates who continue to amaze me with their passion, commitment, teamwork and selfless service. We have a tremendous team and it is an honor to be joined with them as we deliver increasing value for all our stakeholders. I would also like to thank our suppliers for supporting us so strongly and our customers for allowing us to be their partner. Operator, please open the line for questions.
Operator: [Operator Instructions]. Our first question is from Ryan Merkel with William Blair. Please proceed with your question.
Ryan Merkel: Thanks and very nice quarter, all.
Doug Black: Good morning Ryan.
Ryan Merkel: Good morning. First off, EBITDA this quarter was well above even my most optimistic expectations. You usually breakeven or lose a little money in this quarter. So Doug, help us understand how you made $35 million this quarter? And then, was there any revenue pulled forward from the second quarter?
Doug Black: Yes. I think it just gets down to the organic growth. When you see organic growth like that, it ends up looking like a second or third quarter. And so it just gets down to the rapid growth that we saw really across all regions and all product lines. And the other thing is that our teams, we are struggling to ramp up, if you will, labor wise. We fill out our teams as spring hits. And it's a battle out there. Our customers are fighting it and we are fighting it. And so you get a combination of really good leverage on, let's call it, a standard team and then the strong sales. Now our teams will fit out and we will get less leverage as we go through the year. But those were the big factors in having that strongly profitable first quarter. In terms of pull toward, we really don't feel like that's a big factor. Spring did hit a little early and the weather was favorable. We did have the storms in the winter. So we sold a lot of ice melt. And so you saw our maintenance products very strong. And so we really don't feel like that's a big factor. It could always be somewhat of a factor but it wouldn't be a huge factor that we think would materially effect the second and third quarter. John, anything to add to that?
John Guthrie: No. I think you hit on it. You hit the key points straight.
Ryan Merkel: Okay. Helpful. And then secondly, you mentioned April is tracking well. I know it's easy comp. If I just use normal seasonal lift in the 2Q, I get mid teens or better organic growth. Is there any reason that we wouldn't see typical seasonality into 2Q and then even through the whole year?
Doug Black: Yes. We feel like we will get usual seasonality. So that's a good assumption.
Ryan Merkel: Okay. Got it. I will pass it on. Thanks.
Doug Black: Great. Thanks Ryan.
Operator: Thank you. Our next question is from David Manthey with Baird. Please proceed with your question.
David Manthey: Thank you. Good morning guys.
Doug Black: Good morning.
John Guthrie: Good morning.
David Manthey: So yes, following under Ryan's question, typically the first quarter is breakeven or a loss on an EBITDA basis and clearly really strong results here. And then relative to the guidance which looks like it's up $25 million to $28 million, should we assume that when you put up the initial guidance range, in your mind you had already assumed there was EBITDA profitability in that first quarter? And I guess what I am asking here is, are you increasing the outlook for the second through fourth quarters? Or you are just upping the guidance for the first quarter beat and then mostly maintaining the outlook for the remainder of the year?
Doug Black: I think I would characterize it as the latter. The increase in guidance primarily reflects the outperformance in Q1. There's still a lot of the seasons to play and we are really going into our selling season. While I think we are probably more optimistic now than we were when we gave initial guidance, we have not substantially changed our outlook other than for the first quarter beat.
David Manthey: Yes. Okay. Thank you for that. And then second on gross margin. You noted the handling expense increase. Could you talk about TMS and update us there and then discuss private label and the mix of nursery, hardscapes, the usual suspects as it relates to work gross margin? I think previously you said you expect to increase gross margin for the full year 2021 and I am just checking in on the puts and takes there.
Doug Black: We still think that we are very optimistic that we are going to continue to expand gross margins this year. And we were actually very pleased with how we ended up for the quarter only being down 10 basis points. We did lose almost $1 million of nursery product in Texas this year. That's about 15 basis points. I mean obviously, I think one of the things that's different is price inflation was stronger than we originally thought. So we have managed through that. I think we have got a good handle on it now. But it was a battle for our team throughout the quarter as they are both honoring customer commitments but also seeing the cost increases exceed what we had originally forecast.
John Guthrie: On top of that, David, we are seeing very strong private label growth. We are extremely happy with that. We are seeing really good growth with our small and midsized customers, not just sale but the customer count going up. And then the other category initiatives as we are driving nursery and hardscapes and higher gross margin products, all those are on track. And so we feel that's what gives us confidence in addition to, we feel like we are in good shape on price cost. The other factors are still full steam ahead for this year.
David Manthey: Sounds great. Thanks a lot guys.
Doug Black: Thank you.
John Guthrie: Thank you.
Operator: Thank you. Our next question is from Matthew Bouley with Barclays. Please proceed with your question.
Matthew Bouley: Good morning. Congrats on the results and thanks for taking the questions. I just wanted to follow up on the margin side actually because I think, if I am doing the math right, the guide implies a decline in EBITDA margins just for the balance of the year, following the strong start. And you just touched on gross margins improving year-over-year. So basically if you could reconcile that. Is it just that moderation in SG&A leverage you spoke to/ Perhaps pulling in some extra investments? Sort of all of the above? Or just that what else can you give us on reconciling that? Thank you.
John Guthrie: We haven't completely, what I would say, given up on achieving EBITDA margin growth. We are going to face some higher expenses in SG&A. As Doug mentioned, we are staffing up to realize the increased demand. We do expect gross margins to improve in the second half. Then they will be potentially depends on how Q4 goes, that will be probably the most challenging, just from our standpoint also that we face a tough comp from a sales perspective in Q4.
Matthew Bouley: Okay. Thanks for that John. Second one on the M&A side. If I look at Phoenix in South Florida, obviously large construction and housing markets. On the slide, I mean it seems like you have a pretty healthy scale in those markets. Are those type of market where you have 10 or 15 branches, does that get you near the kind of desired local market share with full line offering? Or is there still even more to come in places like those markets? And just you know broadly, what are you thinking on just kind of the next areas or white space you are looking to sell? Thank you?
John Guthrie: Yes. I think you bring up a good point. If you look at our four acquisition here today that shows the diversity and strength of the pipeline with two hardscape distributors, an irrigation and a nursery and all across the country. But that's always a factor, Matthew, the market share we have in any market but there's still parts of Florida where we have very strong market share irrigation but there are still pockets where we might be able to grow. And Arizona and Nevada, where Arizona Stone was, is such fast growing market as well that I still believe we have opportunities in really all of our lines of business. And looking forward, I think what you see is the continued but the go forward pipeline is similarly diverse just like our acquisitions year-to-date and across geography and lines of business.
Doug Black: And I would just add to that, like there is the fill in. If you look at Arizona, we have several locations but we still have a ways to grow there in market share in irrigation because Horizon is very strong there, Ewing is very strong there. And so it might look like we have got great coverage and we are number one but that's actually a market that we have got a lot of room to grow in both the irrigation and agronomics. Arizona Stone adds to the acquisition we did previously and now we are the leader in hardscapes and landscape supplies there. So we are very happy and that's kind of a good example of our strategy how we kind of build out over time these leadership positions and acquisitions are key to doing that.
Matthew Bouley: Makes sense. That is great color. Thanks everyone and good luck this year.
Doug Black: Thank you.
Operator: Thank you. Our next question is from Keith Hughes with Truist Securities. Please proceed with your question.
Keith Hughes: Thank you. My question is on inflation. You have guidance on that earlier in the call. In terms of passing through that pricing, are you at the point now we don't see a drag associated with the inflation coming in your businesses? Have you gotten ahead of the curve, I guess is my question, as we head into second quarter?
Doug Black: We do feel as if we were ahead of the curve there. Specially, as we went through the first quarter, we put in place new pricing to reflect the increases coming from our suppliers. And we think we got ahead of it at the end of the quarter and are well positioned for the rest of the year.
Keith Hughes: And a final question. Doug, you talked about raised expectations on your commercial business. Do you expect that to be solidly positive year-over-year in the second half of the year? Or is this quotation activity that's more focused on like 2022?
Doug Black: Yes. When we started the year, we thought commercial will be down. And given what we see now, we actually do you think it will be a slightly positive in the second half. And we base that on the activity that we see. We have a project services group that does bids for our contractors and their bidding is higher than it was at this rate last year. And last year, it dipped in April but then it came back in May. But we still look like we are tracking above last year's rate. And the other thing is, just talking to our customers, our commercial customers feel good about their backlogs that they have going into the second half of the year and some of them actually feel good going into 2022 which is interesting. So we think that the commercial market seems to be lagging but slowly following a very strong residential market. And as you think about the suburbs where the residential are happening that kind of commercial business lends itself more to landscaping than maybe inner-city commercial which has been strong over the last couple of years. So the mix is good for us as well. So long story short, we expect to be slightly up in the second half in commercial which is terrific and more positive than what we would have thought about three months ago.
Keith Hughes: Okay. Thank you.
Doug Black: Thank you.
Operator: Thank you. Our next question is from Mike Dahl with RBC Capital Markets. Please proceed with your question.
Mike Dahl: Good morning. Thanks for taking my questions. My first question is kind of a follow-up on the guidance. And I think you mentioned that you still expect positive growth in the second half despite the tough comp. So I was wondering if you could clarify, do you expect positive growth in each of 3Q and 4Q? I know you have the selling day impacting 4Q. And also the specifically on volumes, do you expect positive volume growth in each of 3Q and 4Q within the guide?
John Guthrie: We are not specifying that level of detail. I would say, we will say we are more optimistic. The later you go in the year, the more uncertainty is. 4Q is going to be toughest comp. It's also the smallest, smaller than obviously 3Q. And in addition, one thing just to model out is, just on pure organic basis, not accounting for the extra day because we do lose a few days of sales in the fourth quarter. So Q4 will be more challenging than Q3 but we are not specifically calling out the difference between the two.
Mike Dahl: Okay. Got it. Yes, that helps. And then I think you talked about some of the moving pieces around margins. I was wondering if you could kind of specify maybe with respect to freight specifically how much of a headwind do you expect freight to be? And have you started to implement anything like surcharges on freight?
John Guthrie: We think we are trying to capture the freight cost like all cost in the cost of our product. From that standpoint, we are trying to manage it through it. Maybe a slight headwind, I would say, relative to where we thought we would be at the beginning of the year or what we talk about with regards to gross margin. We think we can overcome it. But it could be a slight headwind. We are not implementing any additional freight surcharges or anything for our customers. Most of our freight cost is actually our delivery costs to customers. But we are trying to manage through that. But slight headwind, I guess in summary. We think we can still achieve gross margin improvement in spite of that.
Doug Black: One of the things that gives us confidence there is, we just have a very good transportation team that does a phenomenal job of working with our freight partners, managing costs, but more importantly securing capacity in this kind of strong market where there are shortages. So we have got a very -- that would be a strength to SiteOne. And so that that gives us the confidence that we can manage that. And then on the pricing side, as John mentioned, we are on top of the movements and actually working and feel good about our ability to pass on any increases.
Mike Dahl: Okay. That helps. Thanks Doug, John.
Operator: Thank you. Our final question is from Alex Maroccia with Berenberg. Please proceed with your question.
Alex Maroccia: Good morning. Thanks for taking my questions. My first on is on acquisitions. Did you notice an uptick in calls from distributors looking to sell following the recent discussions around capital gains tax increases?
John Guthrie: I would say there's so many factors that go into that decision that that is one of many. I think I have heard it discussed some. But I wouldn't say that that has, someone who wasn't thinking of selling at all, the uncertainty of the tax change hasn't driven them to full sell mode. But I would say, it adds momentum within their decision process already.
Alex Maroccia: Okay. Understood. And then second one is on back half of the year guidance. Taking into consideration the three items you outlined as potential sources of second half weakness, so labor, weather and supply issues. Which one do you think could provide the best upside, if it doesn't come to fruition?
Doug Black: Yes. It's really, I would always just characterize them as labor, we know, is a constraint. It's been a constraining. It continues to be a constraint. So I think that's more predictable one and one that we and our customers seem to always figure out how to over come and get some growth. Supply shortages, we have strong suppliers. They are working hard. We do a great job of making sure that we secure volumes for our company. And so that one, I think, is a risk but also a somewhat manageable risk. Weather is the one that is not in our control, right. So if we got three or four hurricanes or if winter comes early, that could be probably a more material factor. So I would probably put that one. It's always a factor in our industry. And so of the three, that's probably the one to watch more for.
Alex Maroccia: Okay. Great. Thank you guys.
Operator: Thank you. Our final question is from Damian Karas with UBS. Please proceed with your question.
Damian Karas: Hi. Good morning guys. Just had a follow-up question on the really strong profitability in the first quarter. I was just curious to what extent did the one week shift in the calendar kind of stretching into April more of the spring season have an impact on the first quarter profitability?
John Guthrie: I don't think it would be a huge impact. I mean we talked about a little bit, especially the maintenance being in early spring. But we believe kind of the strong sales we saw throughout the quarter from that standpoint. And so maybe on the margin a little bit but not huge with regards to the overall performance for the quarter.
Damian Karas: Okay. Great. And then just on the capital allocation, how you are thinking about the balance sheet targeting the one to two times? Last year you made that decision kind of in an environment where there was still a lot of economic uncertainty out there. Just where we are today, just wondering how you guys are thinking about that one to two times and whether you have more flexibility to go kind of above those levels from here?
John Guthrie: We do not anticipate that at all. We think the one to two times is a good range to operate in. We think the strong cash flow we are generating from the business, we have got great opportunities on acquisitions. So we don't see ourselves going outside of that one to two times anytime soon, whether this year or even over the next couple of year's perspective. We are going to try to manage through there and execute our strategy. And we think we are in good position from that perspective.
Doug Black: Yes. And that being said, if we had a large opportunity, which there's not many large opportunities in landscaping, its very fragmented or for some reason we did more acquisitions. The one to two is designed that we could go above that if we needed to strategically, right. It gives us strategic flexibility. It's also designed, in the future if we hit a recession, we want to continue to be able to do deals. So the strategic flexibility is important for us. We would go above it to make important strategic moves or to continue investing in acquisitions if the times were tougher. But assuming normal times and good solid market and kind of normal course, it's a good range for us.
Damian Karas: Got it. Makes sense. Thanks guys.
Doug Black: Thank you.
Operator: Thank you. Ladies and gentlemen, we have reached the end of the question-and-answer session. I will now turn the call over to Doug Black for closing comments.
Doug Black: Thank you and thank you all for joining us again today. It's such an honor to be able to the build SiteOne and we appreciate your interest and support as we move forward our company. I do want before we close just highlight that COVID-19 is still with us and our thoughts and prayers go out to all those that have been negatively impacted by COVID-19. And we look forward to updating you again during our call in August. Thank you.
Operator: This concludes today's conference and you may disconnect your lines at this time. Thank you for your participation. Have a great day.